Operator: Good day. And welcome to the Reinsurance Group of America, Inc. First Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded.  I would now like to turn the conference over to Todd Larson, Senior Executive Vice President and Chief Financial Officer. Please go ahead.
Todd Larson: Thank you. Welcome to RGA's first quarter 2023 conference call. I'm joined on the call this morning with Anna Manning, RGA's Chief Executive Officer; Tony Cheng, President; Leslie Barbi, Chief Investment Officer; and Jonathan Porter, Chief Risk Officer. As a quick reminder before we get started regarding forward-looking information and non-GAAP financial measures. Some of our comments or answers to your questions may contain forward-looking statements. Actual results could differ materially from expected results. Please refer to the earnings release we issued yesterday for a list of important factors that could cause actual results to differ materially from expected results. Additionally, during the course of this call, the information we provide may include non-GAAP financial measures. Please see our earnings release, earnings presentation and quarterly financial supplement, all of which are posted on our website, for a discussion of these terms and reconciliations to GAAP measures. And now I'll turn the call over to Anna for her comments.
Anna Manning: Thank you, Todd. Good morning. And thank you for joining our call this morning. Last night, we reported first quarter adjusted operating earnings of $5.16 per share, a strong quarter that included very good performance in many regions and product lines, some nice in-force [indiscernible] and good momentum on organic new business across our markets. I am very pleased with this quarter and with the start to the year. On the capital management front, we had another active and successful quarter, deploying $194 million into in-force and other transactions, and that success was across many of our geographies and products. To provide a little more perspective on the breadth of our wins, we completed deals in Canada, the UK, Europe, Asia and our first U.S. PRT transaction. We have been in the longevity reinsurance business for close to 15 years. And over those years, have built a sizable and valuable global longevity business. We are an active reinsurer in all the major longevity markets. And in 2023, we expanded our approach and solutions in the U.S. PRT market to include a side-by-side partnership model to capitalize on our strength and expertise on both sides of the balance sheet. We are partnering with a couple of well-established, visible, and high-quality insurance partners with broad access to PRT opportunities including at the very large end of the market. We are active on a number of opportunities in the pipeline, and we are excited and confident that the U.S. PRT market will be an attractive growth segment for RGA going forward. Beyond U.S. PRT opportunities, our pipelines are very healthy and include opportunities in many markets and different products. In our organic reinsurance business, we see opportunities across the globe. In Asia, we are the leader in combining product development, underwriting and capital solutions and as a result, when many treaties on an exclusive basis. This is timely as we see early signs of a strong rebound in business activity in Hong Kong and throughout Asia as travel fully resumed. In North America, we continue to win new business by leveraging our signature underwriting strength, including facultative services and other targeted underwriting programs and expertise. I believe this breadth of opportunities provides us an advantage as our risk expertise enables us to assess and engage in the more complex risks and structures. I also believe our global footprint and strong client relationships to provide additional advantages as we can allocate resources to the most attractive opportunities regardless of geography or product. We have an established long history of not only winning transactions, but equally important, a long track record of performance from those transactions. On the asset side, overall investment performance in the quarter was good. Variable investment income was solid, new money rates remained attractive and impairment was modest. We believe that our investment portfolio is well positioned to withstand a more uncertain period going forward. This was a strong quarter across the board and a very good start for our milestone year as we celebrate RGA's 50th anniversary in 2023. We are well positioned, our business is resilient and the need for financial protection is clear. Our strategy of creating innovative new solutions is a win for consumers, a win for our clients and a win for RGA. Our clients recognize and respect all that RGA can do to help navigate increasing economic uncertainty, evolving regulatory and accounting changes and shifting consumer needs and competitive dynamics. Partnerships with RGA provide trusted expertise to succeed in these environments. Throughout my time at RGA, I can't recall another period when we saw this level of opportunity and momentum. And when you add to that, the underlying earnings power in the business and the talented global team, it gives me a great deal of confidence in RGA's ability to continue to deliver growth and attractive returns to our shareholders. Thank you for your continued support and interest in RGA, and I will now hand it over to Todd to go over the financial results.
Todd Larson: Thanks, Anna. Before commenting on results, there are a couple of items I would like to mention. First, effective January 1, we adopted the new long-duration targeted improvement accounting standard, or LDTI. In April, we provided a recasted 2022 quarterly financial supplement and a presentation that reflected the adoption of LDTI. We believe that over time, the new accounting standard will provide better insight into RGA's long-term business performance and along with the new disclosures, provide additional transparency to investors. Second, you may have noticed that we did not make specific reference to COVID in our quarterly materials. COVID impacts have diminished and the reliability of COVID reporting continues to decline. Going forward, we will address our quarterly results without breaking COVID out separately. Turning to the quarter's results. RGA reported pretax adjusted operating income of $456 million for the quarter and adjusted operating earnings per share of $5.16, which includes a foreign currency headwind of $0.18 per share. The trailing 12 month adjusted operating return on equity was 11.2%. Excluding the 2022 assumption changes referred to as notable items, the trailing 12 month adjusted operating return on equity was 13.1%. We are pleased with the strong quarterly result and in other key metrics such as new business production, constant currency premium growth, the capital deployed into in-force and other transactions and investment results. Reported premiums were up 7.3% for the quarter. After adjusting for adverse foreign currency impact, premiums were up 10.8% on a constant currency basis. We continue to see good momentum across our business segment. Turning to the quarterly segment results, starting on Slide 6 in our earnings presentation that can be found on RGA’s investor relations website. The U.S. and Latin America Traditional segment reflected favorable overall results in our Individual Mortality business, primarily due to in-force management actions and higher investment income. Our individual mortality claims frequency was favorable, consistent with the general population data that showed a declining impact of COVID-19 and negative non COVID-19 excess mortality, likely due to an early peak of the flu season in the fourth quarter of last year. These positives were partially offset by unfavorable large claims volatility in certain cohorts with the net premium ratio over 100%. Noting experience on these cohorts is reflected currently in income. Individual Health and Group business both had favorable experience, including favorable mortality in our Group business. The U.S. Asset Intensive business results were strong, reflecting favorable investment spreads, including higher yields on floating rate securities. And our U.S. Capital Solutions business continues to perform in line with our expectations. The Canada Traditional results were in line with expectations and the Financial Solutions business reflected favorable longevity experience. In Europe, Middle East and Africa segment, the Traditional business results reflected moderately unfavorable experience, primarily due to the estimated mortality and morbidity claims of $8 million related to the earthquake in Turkey. EMEA’s Financial Solutions business reflected favorable longevity experience. Turning to our Asia-Pacific Traditional business. Results reflected favorable overall experience across the region. The Asia-Pacific Financial Solutions business performed well reflecting contributions from recent strong new business activity. The Corporate and Other segment reported a pre-tax adjusted operating loss of $25 million less than the expected quarterly range, primarily due to higher investment income. Moving on to capital management, as shown on Slides 12 and 13 of our earnings presentation. Our capital and liquidity positions remain strong and we ended the quarter with excess capital of approximately $1.4 billion. In the quarter, we deployed $194 million of capital into in-force and other transactions and continue to see a very healthy pipeline. We also returned a total of $103 million of capital to shareholders through $50 million of share repurchases and $53 million in dividends. We expect to remain active in deploying capital into in-force and other transactions and returning excess capital to shareholders through dividends and share repurchases. I will now turn the call over to Leslie Barbi, our Chief Investment Officer; and she will discuss current market conditions and our investment results.
Leslie Barbi: Thanks Todd. We had favorable investment results in the first quarter across investment income, new money rates and credit performance. On Slide 8 in the presentation, we show that the non-spread portfolio yield for the quarter was 4.71%, reflecting solid variable investment income and higher yield. Looking at the base yield meaning before variable investment income, the non-spread portfolio increased to 4.45%, up from 3.8% in the first quarter of last year. Our new money rate in the first quarter was 5.56%, well above the portfolio base yield, so new money and reinvestments at current levels continue to support a higher portfolio yield. EII was modestly above our expectations coming from real estate joint ventures. We continue to benefit from higher yields on floating rate securities and cash. Also, we have taken advantage of the environment over the last year with actions such as extension trades and more recently swapping some of our floating rate assets to fixed rates in order to lock in attractive yields for a longer period of time. We believe the portfolio is well positioned to withstand a more uncertain period going forward. Slide 9 of the earnings presentation covers the investment portfolio. Our investment strategy balances risk and return to build a portfolio to weather cycles and produce long-term value. Our overall portfolio credit quality was steady to slightly improving and has an average rating of A. Over 94% of the portfolio is investment grade rated and our high-yield holdings are primarily in the BB category. Credit performance was strong in the first quarter, ratings upgrades outpaced ratings downgrades and impairments were modest at $41 million. Moving to Slide 10 and 11; we've added additional information to our earnings presentation on commercial real estate and on office exposure in particular. Our portfolio is structured to provide us with solid returns and a lot of protection. We have an experienced team that has managed well through cycles and they originate the loans that we put in our portfolio with eight regional offices that give us boots on the ground intelligence and surveillance. We hold $6.9 billion of Commercial Mortgage Loans or CML. The portfolio is high quality. The 56% average LTV means there's generally a lot of equity ahead of our loans that would absorb property price declines before our loan amounts would be at risk. Valuations are reviewed at least annually. We further mitigate risk with a well-laddered maturity profile. Only 2% of the CMLs mature in the balance of this year and 6% mature in 2024. Another strong sign is that there's just one delinquent loan in the portfolio as of March 31st. That's one loan out of about 700 and represents less than 0.3% of the commercial mortgage loan portfolio. The office portion of the CML portfolio is $1.7 billion. Our strategy focuses on suburban office properties, not skyscrapers and major city central business district. The office portfolio has an average LTV of 57% and is diversified across more than 150 loans with an average loan size of about $11 million. Our investments are located across more than 50 metropolitan statistical areas providing strong geographical diversification as well. We are realistic about the environment, and as you would expect from RGA, we are actively monitoring our office portfolio and our process includes proactive engagement with borrowers as maturities or lease expirations approach or where we see changing portfolio metrics. While this environment of transition in office use presents some market challenges, I'm confident that we have the portfolio, people and process to navigate through this period of adjustments. In summary, our overall investment results have continued to be strong. Our strategic approach to investments, the quality of the portfolio, our diligent underwriting and our proactive surveillance and actions give me confidence that we are well prepared to manage through changing market conditions. And now I will pass it back to Todd.
Todd Larson: Thanks Leslie. To summarize, we are pleased with the strong start to the year, the strength of our business and underlying earnings power. And now we'd be happy to open it up for your questions.
Operator: [Operator Instructions] The first question comes from Jimmy Bhullar with J.P. Morgan. Please go ahead.
Jimmy Bhullar: Hey. Good morning. So first, I just had a question on your margins in the traditional U.S. business. They were higher than they've been under LDTI in any of the quarters. So wondering if you could talk about what are some of the sort of – what were the contributors to the strong margins? And what do you view as sort of sustainable contributors versus maybe one-off type things that might have lifted results this quarter?
Todd Larson: Hi. Jimmy its Todd. Maybe helpful but maybe talk about some of the pieces within the U.S. traditional line had a very strong quarter. Overall performance experience is very good. And let me break it down a little bit to give you the moving pieces for a better understanding of the quarter, I think it would be helpful. One is we did have some in-force management actions during the quarter. And as we talked about and over the past few years we're constantly monitoring the performance of the underlying business and where we see some imbalances, we will work with our clients to sort of get the balance back in order through various in-force actions, which could include the rate actions and other activities. So we did have some execution of some in-force management actions in the quarter, which did flow through the bottom line because of the way the LDTI accounting works, where historically, these rate actions would have been spread out over time of the underlying treaty given that the rate actions, a lot of them are on the cohort that had the net premium ratio above 100%. The economic value of those rate actions came through currently in the quarter. I want to highlight – really a positive because it brings an increase to book value right away in a realization of that value that we create through those actions. Offsetting that a little bit was we've normal large claim volatility from quarter-to-quarter. And as you've seen and heard us talk about, again historically we'll have some good experience on large claims and also some unfavorable experience on the larger claims, but over time, all that evens out. And we did have some negative large claim experience in the quarter, and I would say overall the in-force actions and the large claim volatility really canceled each other out for the most part. And then our – as I commented in my remarks, we did have some favorable group and individual health experience in the quarter. And I would size that is about a $25 million positive variance. Then we had some miscellaneous other items including some higher investment income and some other items that were overall positive in the quarter.
Jimmy Bhullar: Okay. And then what – if you could give us some insight into what went into your thinking and doing more in buybacks this quarter than you had done in the last several quarters? And should we assume that this is sort of more of a run rate going forward?
Todd Larson: Well, for the quarter, as we're exiting the pandemic, we're feeling very good about our earnings power and capital generation. We're still also looking at a very healthy pipeline as we deal pipeline as we mentioned as well. So we – I think we just opportunistically took advantage of, one, the share price was off a little bit. But two, again, we're confident with our capital generation and I want to make sure we're actively managing the overall capital base. And as we've mentioned more recently we're very comfortable managing the excess capital level down below its current level.
Jimmy Bhullar: Thank you.
Todd Larson: Operator, we are ready for the next question.
Operator: Thank you. The next question comes from John Barnidge with Piper Sandler. Please go ahead.
John Barnidge: Thank you very much for the opportunity, and good morning. Looks like you racked up some frequent flyer miles all over the world with those import transactions in the first quarter. Can you maybe talk a little bit more about the pipeline, that side-by-side expertise and partnerships on the PRT side with insurance carriers? Thank you.
Anna Manning: Thank you for the question. It's Anna. Yes, frequent flyer miles are racking up. Let me take a step back, I'll address your PRT question first. Let me take a step back, if I may. We've been in the longevity reinsurance business for many years and across many markets, and we completed a nice size longevity deal in the first quarter in the U.K. market. So over that – over those years, this business has grown quite nicely, and it's consistently performed well. Recall, I mentioned in the fourth quarter call that we're now at a stage where we cover roughly two-million pensioners and have in excess of $70 billion worth of expected lifetime benefits. There's strong demand – continuing strong demand for those longevity solutions, and we have over the last 15 years been providing both pure longevity solutions as well as full asset solutions. Now we've added another leg to our strategy, and that's this side-by-side model in the U.S. where we no longer sit behind the client but rather we sit side-by-side with them as their PRT partners. The market is very sizable. There's a lot of demand we see extending out for many years, and we expect to grow this business. And what we like about this partnership model is that it really leverages some of our core strengths. We have access to data and insights, especially regarding the older age mortality. Remember, we are the older age mortality experts. We know that very well. That's a knowledge advantage. And then when you consider the diversification advantage that we have because of the large mortality business, that's not something that all players in the PRT market can bring. And so that's the combination of those two plus our financial strength, our reputation for delivering on commitments. We just think this additional leg to our stool is very, very attractive, and we expect that it will, over time be successful and help us grow into, and from the PRT market.  Now the rest of the pipeline, I think, I said in my prepared remarks, I can't recall a time that I have seen this much in terms of opportunity and momentum. And it's not just in the transactions, it's also in our organic reinsurance business across the globe. We are really coming out of the pandemic, very strong and very well positioned. And then here is my final comment. With the capital level, following up on the question that Todd addressed, with the capital levels and with potentially increasing market dislocations look, we have the flexibility, and we're set up to benefit from these growth opportunities. We're in really good shape to add to our long track record.
John Barnidge: Thank you very much for answering for that. And my follow-up goes back to maybe Jimmy's question. How much of 1Q's performance do you view as run ratable versus some over-earning? I mean, obviously, mortality results have improved some cash received in the bank on real estate transactions, but also more capital being deployed in the top line. I mean, just trying to help dimension that a little bit. It seems like it's closer to five quarterly than it is four, with less on help there. Thank you.
Todd Larson: Yes, I would like to – John, I'd like to – this is Todd. I would like to maybe kick that a little bit to as far as a more in-depth detailed discussion around forward-looking guidance, that kind of thing to our Investor Day that's coming up next month. It was a strong quarter, a lot of good things that happened in the quarter, and we're very optimistic with our underlying business and underlying earnings power going forward. But really would prefer not to get into the details on this call and get more in depth next month.
John Barnidge: I understand. Thanks for the answers. And look forward to that.
Operator: The next question comes from Ryan Krueger with KBW. Please go ahead.
Ryan Krueger: Hi, thanks. Good morning. I think you mentioned some favorable results in both Asia and EMEA in the quarter. I was hoping you could give some sort of perspective on the size of those.
Todd Larson : Well hi, Ryan, it's Todd. Yes. No – yes, so Asia, I think we commented very good, very strong performance. And it was underlying good experience with some higher investment income as well. And I would say it's pretty much across the region. As well, Australia had a positive result. It was a positive about $8 million pretax for the quarter. So, it's good to see Australia have a good quarter. Asia was strong. And hopefully, we'll continue to sustain that level. And again, we'll provide more meaningful guidance for everybody in a few weeks here.
Ryan Krueger: Got it. And I guess on interest rates. In the past, you had talked about the benefit you were getting from reinvesting new money above portfolio yield. Now that we're in the new year, can you help us think about the ongoing tailwind maybe over the next year from potentially higher investment income?
Leslie Barbi: Thanks, Ryan. This is Leslie. Yes, we had – you are right, we had talked the last couple of quarters about the amount rates have moved and that would point to this $25 million-ish per quarter with the ballpark I had been giving. And that's really what the first quarter did look like that cumulative benefit of all the changes last year. What I would think going forward is that if all rates move in parallel, our sensitivity is around $15 million for 50 basis points. But I will note, as we've said, we had been taking actions to extend maturities and lock in moving some of those floating rate to fix. So, these higher yields are good for us, and we want to make sure we take advantage of them.
Ryan Krueger: Great, thank you.
Operator: Next question comes from Andrew Kligerman with Credit Suisse. Please go ahead.
Andrew Kligerman: Thank, and good morning. A few follow-ups. Very curious about your mention of pension risk transfer partners. Is that your primary clients that are interested, are they outside private capital? I'm not quite clear on that. So, would love to hear you elaborate a bit.
Anna Manning: Hi Andrew, it's Anna. Yes, the partners are life insurance companies. They are not private equity or other alternative organizations, they are our long-standing clients.
Andrew Kligerman: And Anna, so it's kind of a setup program where you know if you see something that came kind of partners will be involved in each transaction. Is that the right way to think about it? So sort of a structured approach to the pension risk transfers.
Anna Manning: I think that's a good description, a structured approach, and I would also ask that we defer this for our Investor Day where we will be providing additional information on the partnership.
Andrew Kligerman: Got it. Deferred it is. And then the in-force actions, I kind of – I'm not kind of clear on that either. Like what types of in-force transactions occurred in the quarter? Maybe just a little color – a little picture of what that might have been and the actual earnings benefit?
Todd Larson: Yes, Andrew, it's Todd. Again, as we've talked about, historically, the variety of things that we can do and we work with our clients to make sure that the relationship is in balance, that can include rate actions, maybe winning shares of treaties in other parts of the world, potential recaptures, there is a variety of things. In the quarter, there was the impact of some rate action activity that we executed on, along with some other things. The overall impact of the in-force actions for the quarter was about $50 million, and that was relatively offset, as I mentioned earlier by the additional large claims in the quarter, so some positives and negatives. But again, overall business performance was good. And I think our ongoing in-force actions contributed quite a bit of value to the organization.
Andrew Kligerman: I see. And just to kind of clarify that, that will be my final. So, you had some unfavorable mortality that offset it, but isn't that smoothed out in the underlying experience under the new accounting. So I just kind of wanted to make sure that I was clear on that. So there was some actual mortality that took away from the benefit of the rate actions, even though it's smoother under LDTI now?
Todd Larson: Yes, Andrew, thanks for asking that. Yes, for the large claim volatility that we saw in the quarter, was primarily from the cohorts that have net premium ratio greater than 100%. So under LDTI, that variance goes through currently in income. If it would have been on cohorts less than 100% of the net premium ratio less than 100%, it would have been a spread out.
Andrew Kligerman: Thank you.
Jonathan Porter: Sorry, Andrew, this is Jonathan too. Maybe just 1 more point to add is that some of the favorable frequency variance that we had actually was on cohorts that were with an net premium ratio less than 100%. So some of that positive benefit was spread out in the future periods, just as Todd mentioned.
Andrew Kligerman: Thanks for that.
Operator: The next question comes from Dan Bergman with Jefferies. Please go ahead.
Dan Bergman: Hi, thanks. Good morning. I guess to start, premium growth was quite strong in the quarter. It seemed like some of this was driven by outsized growth in U.S. and intensive just given that and all the deal activity you saw in the quarter. I wanted to see if you can give an estimate on where the core organic premium growth rate shook out in the first quarter? And just given what you're seeing in all the business momentum that you discussed earlier, are there any further thoughts you can give on how you'd expect that to trend as we move through the rest of the year? Thanks.
Todd Larson : Hi, Dan, it's Todd. Yes. No, again, overall premium growth, very happy with, very strong. I think your question is absent maybe the PRT transaction, what's the normal growth or expected growth. But we still expect overall that we have our underlying business, we have the ability to continue to grow premiums at mid- to high single digits with contributions around the globe.
Tony Cheng: Dan, this is Tony. Let me just add to that. As Anna mentioned, look, we're optimistic about pretty much across the whole globe, both on the transactional and the flow business. As mentioned, we're incredibly broad in what we do geographically, but also both on the asset and liability side of the balance sheet. So, whether it's – in Asia, we see a lot of tailwinds behind the growth that we're experiencing. Yes, that could be the reopening of the travel, the discipline we've exhibited dealing with any blocks that we're not performing favorably. We deal with them very quickly. And the change in capital framework throughout all of Asia, that's a huge tailwind behind all our growth. And then you see in the U.S., our home market, where our brand is just so incredibly strong, and I'll call it signature strength of underwriting, we've been able to essentially amplify that core strength in numerous ways that – number one, we win business directly through that. And then number two is just improves – it continues to improve our incredibly strong brand. And therefore, we win our more than fair share of just the traditional flow business there.
Dan Bergman: Got it. That's really helpful. Thank you. And then maybe if I could just one more, maybe moving directions a little bit but just before LDTI, for LDTI, there seem to be a clear seasonality to your claims with lower earnings in the first quarter and then higher profitability as we move through the year, particularly in North America, all else equal. So I just wanted to see if there's any guidance you can give on how you'd expect the seasonal pattern to look post-LDTI. Should we expect the same typical seasonal cadence to earnings? Or is there any change to the magnitude of that seasonality given some of the smoothing that you discussed earlier? Any color there would be very helpful.
Jonathan Porter: Yes, hi Dan, it's Jonathan. Let me take that one. So I think big picture, we would expect to see some dampening of the seasonality effects, given the mechanisms under LDTI that you talked about. As Todd already mentioned for this quarter, it is dependent though on what cohorts have positive or negative variances in the period. So it's not fully predictable. So just keep that in mind as well. But I think big picture, we would expect that seasonality would be a little bit less going forward.
Dan Bergman: Got it, thanks so much.
Operator: The next question comes from Tracy Benguigui with Barclays. Please go ahead.
Tracy Benguigui: Thank you. Good morning. We'd like to touch upon your Chesterfield Re $500 million surplus note issuance where Apollo was the sole investor behind that. This is an embedded value deal. So that means there were reserve redundancies and the structure allows you to unlock part of that. What were the key drivers of your third-party actual opinion that determines an embedded value on the subject term life block?
Todd Larson: Hi Tracy, it's Todd. Yes, we executed the surplus note in the first quarter, collateralized by the embedded value of a portion of our business. Actuarial appraisal, I'm not sure we can talk about the details, but it would – it'll be done based on normal actuarial appraisal of a traditional block of mortality business. We like the transaction quite a bit because it's down at the operating company level provides regulatory capital on a very efficient basis.
Tracy Benguigui: Okay. Could you see yourself doing more of these type of transactions?
Todd Larson: Yes. It's part of our alternative capital strategy. If you recall, I think I get my years wrong. But I think 2014, we did an embedded value security – securitization that we ultimately have paid off fairly recently. So we have done one in the past. And so yes, we think it's a good way to help finance our growth as well as it demonstrates the value that's in our book of business that's on our books.
Tracy Benguigui: And you talked about repricing in your in-force action. Can you just share what products and vintage years you're able to reprice? I'm assuming it was under YRT.
Todd Larson: Hi Tracy, it's Todd. I don't think we're prepared to go down into the level of detail as far as which individual blocks and errors and that type of thing.
Tracy Benguigui: Okay. Thank you. Looking forward to your Investor Day.
Todd Larson: Thank you.
Operator: Our next question comes from Tom Gallagher with Evercore. Please go ahead.
Tom Gallagher: Good morning. Just want to be clear on some of these accounting differences. So the experience on the U.S. Trad business that gets smoothed, it sounds like that was favorable in the quarter. And if so, will we continue to see a little bit of the tail benefit of that flow through in future periods. And the part of the book that's in, I guess, above 100% or in loss would – had adverse experience of around $50 million on large claims. So that came through in the current quarter. I just want to make sure I'm understanding those two pieces correctly? And then also, if you can comment on what percentage of your book is in the immediate recognition part, that's in more of a loss position versus what percent of your book is assumed to be at a profit that's getting smoothed?
Todd Larson: Yes, I'll start out. This is Todd. Yes, on the contracts that are in a less than 100% net premium ratio, that is where we saw the favorable mortality experience, primarily from the lower frequency of claims and that does get spread out. So that will come back in, in the future. And then on the greater than 100% – again, to clarify what happened in the quarter is we did have some higher large claims in the quarter and those were primarily in the cohorts with the net premium ratio above 100%. So those did flow through currently, but as well as about during the call and in the remarks, we had some in-force rate actions that took place that were on – actually also on cohorts greater than 100%. So that came through currently. And the impact of the in-force rate actions and the claims pretty much offset each other.
Tom Gallagher: Got you. And Todd, how much of your book is in the above 100% net premium level that would be coming through immediately, just like ballpark, what percentage of your book?
Todd Larson: I would say – this is Todd again. Probably it's hard to exactly quantify it. It's certainly in the minority, less a minority part of the overall book or in-force. If I had to quantify it, say in the 15 to 20 percentage points, but I don't have the exact figure with me right now.
Tom Gallagher: Got you. That’s…
Anna Manning: And if can add – just if I can add to that for a minute.
Tom Gallagher: Sure.
Anna Manning: Yes, the adverse mortality in the quarter was large claim volatility. And so we expect large claim volatility to go up and to go down but to smooth that over time. And in those cohorts, if we have and when we have positive quarters, you will see it also go directly down into earnings. So in those cohorts where the net premium ratio is over 100%, it's essentially similar to the old GAAP accounting where you saw that experience in the quarter just go directly down, if that's helpful.
Tom Gallagher: That is, Anna. And then my follow-up was, what about the experience in the quarter for the majority of your block that is below 100%, how favorable is that? I mean, I know we're not seeing it flow through now based on the new accounting, but was that greater than $50 million? Like any way of quantifying that?
Anna Manning: No, it wasn't greater than $50 million. It was measurable, I would say, maybe in the $20 million range.
Tom Gallagher: Got you. That's helpful. And then just one...
Operator: The next question comes from Alex Scott with Goldman Sachs. Please go ahead.
Alex Scott: Hi. My first one, I just had an accounting follow-up. When you all do in-force actions on product that's over 100% net premium ratio, I assume that would probably be enough pricing to potentially take it down below 100%. If that's the case, I get there's an immediate benefit. But is there also still an improvement to the run rate of earnings looking forward from those kind of actions? Because you'd have an NPR below 100% kind of going forward?
Jonathan Porter: Yes. Alex, this is Jonathan. It really depends on how material the subset of the cohort is where the adjustments are occurring. So I would say, generally speaking, changes wouldn't be probably large enough to affect the whole cohort over the course of time as you do if there's multiple adjustments that could compound to be enough to bring it under 100%. But because this would be a portion of a cohort, it's unlike you would move it in a period below.
Alex Scott: Got it. Okay. And then when I think about these in-force management actions going forward, where are we with that? I mean, is there still a pipeline of things you have to take care of their what portion of the stuff over 100% NPR would you be looking to try to improve profitability on?
Tony Cheng: Thanks for the question. This is Tony. Look, this is not a new strategy for us. This is something we've been doing for quite some time. And obviously, the key part of RGA is risk management, and we're always monitoring these blocks, always refining our views towards these blocks and then making judgments and assessments. As Todd mentioned, we will always work in a partnership manner, and we've got the luxury of working across the globe and probably more levers than others in terms of dealing with these situations. So it’s hard to quantify where we are in the inning given the environment continues to change. But we will continually and consistently implement this strategy and I think we’ve done a great job in balancing our partnership as well as our ability to in-force our rights in the treaty.
Alex Scott: Thank you.
Operator: The next question comes from Erik Bass with Autonomous Research. Please go ahead.
Erik Bass: Hi. Thank you. I wanted to ask you a bit about the variable investment income drivers. I think you stood out versus peers as being a little better than expected this quarter. I think you said it’s coming from real estate partnerships. So just opening up more detail on kind of what’s driving those? And if it is from real estate and we start to go into a period where valuations are under pressure. Is that a potential headwind for VII going forward?
Leslie Barbi: Erik, this is Leslie. Thanks for that question. So when I referred to real estate, that was the variance, but it’s not just real estate driving VII. So we have a couple of different components and I guess ours did stand out a bit. I would say, yes, there was real estate activity, but our private equity strategy, I think we focus more on middle market, which may be a little different from some, and we also have other types of funds in there, so it’s a little more diversification. So I think that in our base case, we’re thinking we’re at a solid level going forward, but obviously there could be some dampening evaluations given the cumulative impact of rising rates and tighten liquidity and so forth. So that’s possible, but I don’t think it would be – it’s not as if it’s all dependent on real estate. It is diversified and that was just activity above the expectations, not as if they were the whole driver.
Erik Bass: Got it. Thank you. And then Anna, maybe going back to your comments about being very bullish on the outlook for growth and you talked about the inorganic. But on the organic side, is that just more growth in the primary markets you’re seeing post-COVID or changes in session rates and demand from your insurance counterpart?
Anna Manning: Thanks for that question, Erik. I think I’m going to turn that question over to Tony.
Tony Cheng: Great. Thanks, Erik. Look, the short answer is, we are very excited about the prospects on the organic business around the world. And to answer your question, it’s both. I’ve mentioned in past Investor Day, at least in Asia, we saw post – just a strong underpinning of insurance awareness and the importance of insurance, which is obviously wonderful for our industry. But then I would say, the reinsurance penetration, obviously these numbers come out regularly, but strategically over the longer-term that the importance of reinsurance clearly has been seen throughout the pandemic. So I would expect as reinsurers, like RGA continue to find creative ways in which we can help grow the underlying market, help our clients use reinsurance in more modern fashions. As well as, the fact that RGA is obviously one of the leading life and health reinsurers in the world. And if the pandemic shows anything, it’s really you need a very strong partner in times of challenge. So I think hope we would expect to see over the medium and long run a flight towards the high quality reinsurers also. So everything is pointing in the right direction towards that strong organic growth.
Erik Bass: Thank you.
Operator: The next question comes from Mark Dwelle with RBC. Please go ahead.
Mark Dwelle: Yes, good morning. Just a couple really quick ones. Was all of the USPRT transaction within the Asset Intensive segment, or was any of it recorded within Traditional?
Todd Larson: Mark, it’s Todd. No, it was in the U.S. Financial Solutions – Asset Intensive area.
Mark Dwelle: Got it. And then it was mentioned in the investment discussion that there was $41 million of impairment, what asset class was that related to?
Leslie Barbi: Mark, this is Leslie. So that was primarily driven by exposures to two of the – the two banks that failed in March in the U.S. So our exposure there was modest, our portfolio strategy, just – because that highlights a question in the news. So our strategy really in U.S. banks is to focus on global systemically important bank that’s two-thirds of the portfolio. And if you look at all the other types of exposure in there, the average of the rest of the portfolio is about $25 million per credit. So very manageable amounts. And I’ll note that there’s been a handful of names in the news last week or so. And across three of those we have $10 million total book value exposure. So very manageable.
Mark Dwelle: Okay. Thank you for that. That’s all my questions.
Operator: The next question comes from Mike Ward with Citi. Please go ahead.
Mike Ward: Thanks, guys. Good morning. I was just wondering on PRT. Trying to think about it strategically because this has been a pretty decent market for the industry post-crisis, I’d say. So just kind of wondering what might have changed economics or structure of the market that brought you guys in, because I would’ve thought that the – there’s been pretty good demand for a while.
Anna Manning: Hi, it’s Anna again. I would say there – it wasn’t a result of a change, it was an expansion in our strategy. We have been very successful as reinsurers – longevity reinsurers, as I said, for close to 15 years. It just was a natural extension and the structure that this third leg of our stool, we think is a very attractive proposition and opportunity for both RGA and our partners.
Mike Ward: Thanks, Anna. And then tangential question on the office CRE, maybe for Leslie. Just wondering if you could discuss the strategy on favoring suburban offices over skyscrapers in major cities. We’ve got some insurance companies that are highlighting the fact that that’s where they are. So it seems kind of debated, just curious your perspective. Thanks.
Leslie Barbi: Sure. Thanks for that question. I mean, you have to have a strategy and an expertise. I think that we see a lot of value in suburban locations. And right now, I guess another advantage of that is just that if they tend to be more types of businesses that can’t work remote. Because I guess if you wanted to work at home, you wouldn’t get an office nearby. So we’ve always had this strategy that there’s an opportunity there to focus on office and other types of things near these suburban population densities and just making sure it’s a good location, very usable and there tend to be manageable sizes. So it’s not hard to replace tenants if something does turn over. So I think different – I guess, different firms can have different strategies. But right now there’s certainly a lot of the uncertainty is really around the work from home. So I think it’s our strategy is putting us in a good position right now.
Mike Ward: Totally makes sense. Thanks Leslie.
Operator: This concludes our question-and-answer session. I would like to turn the conference over to Anna Manning, Chief Executive Officer for any closing remarks.
Anna Manning: [Indiscernible] and your continued interest in RGA. This is a strong quarter demonstrating the substantial earnings power in our business. We are a global leader. We’re well positioned in our markets to capitalize on the growth opportunities that we’ve highlighted through the course of this call. And I remain confident that RGA will continue to deliver substantial long-term value for our shareholders. So thank you. And that concludes our first quarter call.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.